Operator: Greetings and welcome to the Chatham Lodging Trust Fourth Quarter Earnings Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Mr. Chris Daly. Thank you Mr. Daly, you may begin.
Chris Daly: Thank you, Michelle. Good morning, everyone, and welcome to the Chatham Lodging Trust fourth quarter 2015 results conference call. This morning, before the opening of the market, Chatham released results for the fourth quarter 2015, and I hope you've had a chance to review the press release. If you did not receive a copy of the release or you would like one, please call my office at 703-435-6293, and we'll be happy to email you one. Or you may view the release online at Chatham's Web site, chathamlodgingtrust.com. Today's conference call is being transmitted live via telephone and by webcast over Chatham's Web site. A recording of the call will be available by telephone until 11:59 PM Eastern Time on Wednesday, March 02, 2016, by dialling 1-877-870-5176, reference number 13629747. A replay of the conference call will also be posted on Chatham's Web site. As a reminder, this conference call is property of Chatham Lodging Trust, and any redistribution, retransmission, or rebroadcast of this call in any form without the express written consent of the company is prohibited. Before we begin, management has asked me to remind you that, in keeping with the SEC’s Safe Harbor guidelines, today’s conference call may contain forward-looking statements about Chatham Lodging Trust including statements regarding future operating results and the timing and composition of revenues, among those other things. Except for historical information, these forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially, including the volatility of the national economy, economic conditions generally, and the hotel and real estate market specifically, international and geopolitical difficulties or health concerns, governmental actions, legislative and regulatory changes, availability of debt and equity capital, interest rates, competition, weather conditions or natural disasters, supply and demand for lodging facilities in our current and proposed market areas, and the company’s ability to manage integration and growth. Additional risks are discussed in the company’s filings with the Securities and Exchange Commission. All information in this call is as of February 24, 2015, unless otherwise noted, and the company undertakes no obligation to update any forward-looking statement to conform the statement to actual results or changes in the company’s expectations. During this call, we may refer to certain non-GAAP financial measures such as EBITDA and adjusted EBITDA, which we believe to be common in the industry and helpful indicators of our performance. In keeping with SEC regulations, we have provided, and encourage you to refer to, the reconciliations of these measures to GAAP results in our earnings release. Now, to provide you with some insight into Chatham’s 2015 fourth quarter results, allow me to introduce Jeff Fisher, Chairman, President, and Chief Executive Officer, Dennis Craven, Executive President and Chief Operating Officer and Jeremy Wegner, Senior Vice President and Chief Financial Officer. Let me turn the session over to Jeff Fisher. Jeff?
Jeff Fisher: Thanks Chris. Good morning, everyone. We are certainly pleased again to be here this morning. We’re hosting this call actually we’re on the road for our regular scheduled Board Meeting as well tomorrow from our Residence Inn Gaslamp District here in San Diego. We acquired this hotel as you know about a year ago. Certainly great asset we’re enjoying being in San Diego and look forward to showing our Board what we have planned in terms of a regularly scheduled renovation as well here at the end of the year. I’d like to start by spending a few minutes upon our fourth quarter results, which produced RevPAR growth that I’m particularly pleased of, of 4.7%. Of course as we all expect it’s slightly below our guidance of 5% to 5.5% that we initially set. But adjusted FFO per share of $0.42, which was within the guidance range we provided. During the quarter, RevPAR grew 4.5% in October, 5% in November and 4.5% again in December. We’ve been keeping a little tally as everybody has been reporting their results over the last week or so. And we are pretty proud of the fact as we had hoped and suspected that we would have at least so far the best results of all C-Corp’s and all lodging REIT’s in terms of RevPAR growth and FFO growth I believe in the fourth quarter. I think that outperformance again we’ve said it over and over again is driven by a number of factors, it’s driven by the quality of the hotels that we own, it’s driven by the markets that we’re in. And the markets that we’re acquired our hotels in as we’ve said many times have been very specifically targeted to be the place where job growth is prevalent and strong. So you look across the portfolio and you look at the markets we’re in. The hotels were not acquired in a haphazard manner, we’re in Boston, because we like the Route 128 corridor, we understand the demand generators, primarily high-tech generators in that corridor our hotels there are doing very well. Dallas a great market wonderful corporate relocation market companies relocating from even for example Torrance California, one of the big auto manufacturers. So there are continued opportunities for growth and therefore for the kind of hotels that we own, they really benefit from that kind of growth in those markets Denver, Seattle, Silicon Valley, these markets have driven some very strong results and we expect those markets to continue to perform better than the industry norm as you look across 2016. And so therefore, we want to be conservative with our guidance, because we know we’re in a time where things are somewhat uncertain, but nonetheless proud of the hotels that we own and proud to look at the experience even in the fourth quarter with many of our hotels experiencing some very strong RevPAR growth. The Silicon Valley growth again in the fourth quarter was a little bit slower than we expected as we’ve indicated. Primarily because that time of year the extended stay business engineers high-tech et cetera tends to slowdown. But January the business picked right back up again. And although the super bowl was an interesting result for us in that it actually displaced business from the hotels because most of the business travelers that normally would come to Silicon Valley steered clear period. They didn’t want to be there and actually one of our very large groups from Apple canceled a few weeks out in front of that event too, so the carry through there had some negative effect. But again from a bigger picture perspective, market is still strong. Obviously it's not a double-digit RevPAR gainer there really are few of those left. And my overall comment is let's be cognizant of long-term historical growth rates of RevPAR throughout this business and the industry and let's have reasonable expectations. And I think that the overall multiple of our Company and some others have expectations that perhaps were either: A, too high; or B, expect severe contraction in RevPAR and EBITDA and with most folks guiding anywhere from 2% to 3% up to 4% or 5% for the year that translates still into some good growth for us and for most people in the hotel business. So that’s kind of the Jeff Fisher macro backdrop there. The Board has cautioned me not to get into politics today, so I’ll try not to do that. In any event I would like to go back and just reflect a little bit on Chatham’s accomplishments in 2015. 2015 of course seems like a long time ago given the rapid change in investor and lodging sentiment over the past nine months. But despite the awful share price performance and of course as a major shareholder I feel the pain it was a year where Chatham accomplished some very significant things that benefited our shareholders in 2015 and will continue to add value over the long haul. We raised our annual dividend 29% to $1.20 per share, an increase for the fifth consecutive year and we expect our dividend will grow again in 2016. We solidified our balance sheet for long-term successfully closing on a new unsecured $250 million senior new credit facility that can be expanded to 400 million and matures in late 2020. Adjusted EBITDA grew an astounding 49% and our adjusted FFO advanced almost 59% adjusted FFO per share jumped 20%. These are strong results, particularly compared to the peer group. We reduced our leverage while also acquiring four high quality hotels in San Diego, in Los Angeles, Boston, Mass, and Fort Lauderdale for approximately $190 million. And those hotels had very-very strong RevPAR gains further enhancing the overall performance and quality of the assets, and I think the NAV of the Company with those assets. We sold a hotel that was located at Residence Inn in Torrance, California that was in a JV still with Cerberus it was a 95/5 JV we own that hotel less than three years. We made almost $13 million in the aggregate I think a pretty good result. And with our promote structure with Cerberus we realized a gain of $3.6 million again a very strong return and another indication I think of the underlying value of the assets in the Company. We have lived through a lot of hotel cycles as a public company and we’ve learned not to lose focus on our goal to own the very best select service assets in the United States. That will generate long-term returns, cash flow and growing dividends for our investors. We’ve got a sound balance sheet. We have no near term maturities. And I believe we are absolutely set for success as we look forward. Again looking ahead to 2016, we’re one of the few lodging REITs projecting nearly double-digit FFO per share growth at the midpoint of our range. We’ve grown FFO per share at an annual rate of over 20% since 2011. Again, putting us at or near the top of all lodging REITs and we funded our growth using cash flow as well as a balanced mix of equity and debt. And as such we’ve been able to increase our dividend every year since our IPO. And we expect that to continue as we move through 2016. With that I’d like to turn it over to Dennis.
Dennis Craven: Thanks Jeff. Good morning everybody. I am going to walk through our earnings for the quarter and compare them to our fourth quarter guidance preparing a reconciling between our actual results and the guidance we provided. Our RevPAR guidance for the quarter was 5% to 5.5% RevPAR growth for all hotels and we ended up seeing growth of 4.7%. This was driven by a 3.1% increase in occupancy to 77% and a 1.5% increase in ADR to $154. The primary drivers behind the underperformance was the decline in our two Western Pennsylvania hotels that are managed by Concord which saw RevPAR decline 22% in the quarter, I think everybody is fully aware of the challenges in the oil and gas industry. These two hotels are primarily driven by performance in that sector. So certainly that is going to have a negative impact on not only our quarter, but also it is going to have an impact in 2016 with RevPAR down in similar amounts for the full year projected in 2016. Our market index was down about 1% in the quarter. While markets themselves were down on average about 21% in those two Western Pennsylvania hotels. So certainly not something that’s inductive of those two hotels to nearly an overall market performance. Our two DC hotels were up 0.4% in the quarter, which is again obviously lagging our overall portfolio performance. And another weak market for us was the Carlsbad Homewood Suites, where RevPAR was down 1.4% as that was impacted by new supply in the market. Lastly, we had two hotels that were under renovation in the quarter, the SpringHill Suites in Savannah, and the San Antonio Homewood Suites on the Riverwalk where RevPAR was down 19% and 16% respectively. The San Antonio Homewood Suites we accelerated the timeline on the renovation from beginning in the first quarter of 2016 to the fourth quarter of ’15 to be able to get some rooms finished prior to some group business coming in here in February and March. Excluding the reimbursable cost revenue, our hotel revenue of 66.2 million came in right in the middle of our guidance range. Adjusted EBITDA rose 22% to 26 million and it came in $1 million below the lower end of our guidance with the primary reason due to lower than expected hotel EBITDA margins. Our hotel EBITDA margins were 37.5%, compared to our guidance of 39.3% to 40.3%, hotel EBITDA margins were impacted 130 basis points from an increase in property taxes of which $200,000 of the $500,000 increase is attributable to some of our Silicon Valley and Savannah hotels. Another area where costs for us in the quarter were rising as travel agency commissions and guest rewards costs, during the fourth quarter those expenses were up almost 400,000 or 18% and impacted our year-over-year margins by approximately 60 basis points. For the full year, these third-party costs and guest rewards costs are up 1.7 million or 23% as third-party revenue production keeps rising and we’re certainly from an owners perspective looking at our brands to help owners reduce these costs overtime and continue to find ways to incentivize and drive hotel guests to the brand.com sites for their reservations. Despite these cost pressures using comparable hotel operating results regardless of who own the hotels and that basically factors in the four hotels that we acquired in 2015, our operating margins were flat year-over-year for the quarter at approximately 47%. We do expect in 2016 to be able to drive comparable margins slightly higher as we move through the year. Adjusted FFO jumped 27% came in at $0.42 a share versus our guidance range of $0.42 to $0.44, we were able to offset the $1 million of hotel EBITDA shortfall and stay within our FFO guidance range due to increased FFO contribution from our joint ventures of about 400,000 reduced interest expense of 300,000 due to the reduced rates as a result of our new unsecured line of credit and 300,000 from lower income taxes. Slightly higher G&A was offset by lower amortization of loan costs and other non-cash expenses. With respect to the two joint ventures, our Innkeepers and Inland joint ventures. These joint venture comprise of total cash and investment for us of about 50 million bucks and our share of their FFO comprises approximately 10% of our enterprise FFO per share. RevPAR in the Innkeepers’ portfolio was up 6.1% in the quarter and RevPAR was up 1.5% in the Inland joint venture. GOP margins were up 100 basis points within the Innkeepers’ joint venture to approximately 43% and we’re essentially flat in the Inland joint venture at approximately 40%. In the aggregate, the joint ventures generated approximately $3.7 million of EBITDA for Chatham, which is above our guidance range of 3.2 million to 3.3 million and 1.8 million of FFO which was above our guidance range of 1.4 million. The outperformance was due to better than expected revenue performance within our Inland portfolio and better than expected hotel EBITDA margins across both the portfolios. The two joint ventures as we’ve talked about and mentioned in our press release are producing outstanding returns having generated an approximate 17% levered return in 2015 based on the cash distributions that we received throughout the year. With respect to the Silicon Valley expansions, work continues on the 32-room tower addition in Mountain View and we expect to complete that project in the 2016 second quarter. We will begin the redevelopment of the Gatehouse in Mountain View later this year. With respect to the two Sunnyvale locations we expect to begin those expansions in the fourth quarter and expect that process to take approximately 12 to 15 months. We are still working through the planning and approval process for the San Mateo location as originally planned we’re going to be able to add 43 rooms in that location given some air rights issues with that area which is called Mariners Island the incremental number of rooms is most likely going to decrease in that location to less than 30. So, we’re still considering the existing expansion plan of that location. However for the Mountain View and the two Sunnyvale expansions total costs are expected to be approximately $70 million to $75 million. These three projects would add an incremental 220 rooms in Silicon Valley and we would expect those three expansions to add almost $10 million of EBITDA and $6.5 million of FFO on a full year basis in 2018 which is very meaningful at almost $0.17 per a share. We’re going to spend approximately $7 million on the redevelopment of the Gatehouse in Mountain View in 2016 and 2017. In 2016, outside of the Silicon Valley expansions we plan on spending approximately $19 million on our annual capital plan in 2016 and an expected cash flow, cash outflow on the Silicon Valley expansions for the year is going to be approximately $25 million in 2016. During the fourth quarter we completed the renovation of the 160 room SpringHill Suites in Savannah, Georgia. And as I spoke earlier, we’re just finishing up the renovation of the 146 Homewood Suites in San Antonio Texas on the Riverwalk. And I think with that I’ll turn it over to Jeremy.
Jeremy Wegner: Thanks Dennis. Good morning everyone. For the quarter we reported net income of $4.5 million or $0.12 per diluted share compared to a net loss of $5.3 million or $0.16 per diluted share in Q4 2014. The primary differences between net income and FFO relate to non-cash costs such as depreciation which was $12.8 million in the quarter, the write off of $0.4 million of deferred financing costs associated with the refinancing of our revolving credit facility, the $3.6 million gain on the sale of our interest in the joint venture to own the Residence Inn Torrance and our share of similar items within the joint ventures which were approximately $1.9 million in the quarter. Adjusted FFO for the quarter was $16.1 million compared to 12.7 million in Q4 of 2014 an increase of 27%. Adjusted FFO was $0.42 per share which represents an increase of 14% or $0.37 per share generated in Q4 of 2014. Adjusted EBITDA for the Company rose 22% to $26 million compared to $21.4 million in Q4 2014. In the quarter our two joint ventures contributed approximately $3.7 million of adjusted EBITDA and 1.8 million of adjusted FFO and we received distributions of 1.3 million from the Innkeepers portfolio and $450,000 from the Inland portfolio. Our balance sheet remains in excellent condition. Our net debt was $589 million at the end of the quarter and our leverage ratio was 41.2%. We’re very comfortable at this leverage level and have the capacity to complete our planned Silicon Valley expansions and additional acquisitions without raising equity, although there are no acquisitions currently in the pipeline. During the fourth quarter, we refinanced our $175 million secured credit facility with a new $250 million unsecured credit facility. The new facility matures in November 2020 and is priced at LIBOR plus 165 at our current leverage level, which represents an 85 basis point reduction from the spread in our previous facility. Transitioning to 2016, I’d like to note that our guidance takes into account our planned renovations at the Homewood Suites San Antonio and the Hilton Garden Inn Burlington in Q1, the Courtyard by Marriott Addison and the Homewood Carlsbad in Q2 and the Residence Inn San Diego Gaslamp in Q4. Our guidance also assumes 75 rooms will be out of services at our two Sunnyvale Residence Inn starting in Q4 in conjunction with our expansions of those hotels. We also expect to complete our 32 room expansion of the Residence Inn Mountain View by the end of Q2. Our guidance assumes 2016 RevPAR growth of 3% to 4% which is in line with recent trends for the portfolio and consistent with what a number of other owners and operators are forecasting. This guidance is predicted on the assumption that GDP growth will be in the range of 2% to 2.5% in 2016. In 2016 our strongest markets are projected to be Silicon Valley, Bellevue, Denver, Orlando and Savannah. Silicon Valley and Denver were two of our strongest markets in 2015 and we expect those trends to continue in 2016. Our hotels in Bellevue, Orlando and Savannah should all benefit from easier comps since they were all impacted by renovations in 2015. The only market that we are projecting to be extremely weak in 2016 is Washington Pennsylvania which has been significantly impacted by the decline in oil and gas prices. On a comparable same store basis, including a full year impact of the hotels we acquired in 2015, 2015 quarter-by-quarter RevPAR was $121 in the first quarter, $140 in the second quarter, $146 in the third quarter, $119 in the fourth quarter and the $131 for the full year. In 2016, we’re projecting RevPAR of $123 to $125 in Q1 and $135 to $137 for the full year. Room revenue is projected to be 282 million to 285 million, up approximately 10% from 2015. Other revenue which comprises F&B lease and miscellaneous revenue is expected to be approximately 5.6% to 5.7% of total revenue for the portfolio. We expect increases in ADRs to account for a significant portion of our RevPAR growth in 2016, which enable us to continue increasing margins. We expect total EBITDA margins to be 43% to 43.6% in 2016 compared to 43.1% in 2015. Our 2016 margin expectations reflect a full year of ownership of the Hilton Garden Inn Marina Del Rey, which has lower EBITDA margin than some of the other hotels, because of its ground lease. Our full year forecast for corporate cash G&A of $8.8 million, which is flat to 2015. And for non-cash G&A which represents amortization of share based compensation for the Board and employees expected to be $3.5 million. Interest expense excluding amortization of deferred financing fees is expected to be approximately $27 million in 2016 versus 26.3 million in 2015. The increase reflects higher average debt balances in 2016 and 2015 as we use debt to fund the acquisitions of the Residence Inn Dedham, Residence Inn Fort Lauderdale and Hilton Garden Inn Marina Del Rey in Q3 2015. Our cost of debt will improve as a spread of new facility of 85 basis points lower than the spread in our previous facility. We’re forecasting non-cash amortization of deferred financing fees and franchise fee applications to be approximately $1.5 million in 2016 versus 1.8 million in 2015. On a full year basis, our two joint ventures are expected to contribute 17.4 million to 18 million of EBITDA and 9.3 million to 9.9 million of FFO in 2016. From a cash flow perspective, capital expenditures are expected to be about $44 million in 2016 with $19 million related to our 2016 capital plan and 25 million related to the Silicon Valley expansions. We expect the 19 million of capital related to our annual capital plan and 12 million related to our Mountain View expansion to be spent rateably throughout the year. We expect the remaining 13 million of capital related to our Sunnyvale expansions to be spent beginning in Q4. All-in-all, we expect 2016 to be another solid year. Based on the midpoint of our guidance adjusted EBITDA and adjusted FFO per share for both projected increased by 9%. We expect a quarterly contribution of adjusted EBITDA of approximately 20% in Q1, 28% in Q2, 31% in Q3 and 21% in Q4 and we expect a quarterly contribution of adjusted FFO to be approximately 18% in Q1, 30% in Q2, 34% in Q3 and 18% in Q4. I think at this point operator that concludes our remarks and we’ll open it up for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Gaurav Mehta, so sorry about that with Cantor Fitzgerald. Please proceed with your question.
Gaurav Mehta: First question on the acquisition pipeline, I understand there is no acquisitions in 2016 guidance, but I was just hoping to get your view on what you are seeing in the market in terms of product flow and pricing?
Jeff Fisher: Well there is not much going on out there. This is Jeff, good morning. And that there are some select service hotels that some brokers have listings on that are trying to get some interest, but frankly, on our end anyway, given our multiple we certainly don’t think as we’ve said it many times, now is the time to be buying. The math doesn’t work obviously and therefore we are just going to double down on our focus in really maximizing the earnings. From the portfolio that we’ve got, I can’t tell you just on a bigger sense, there really haven’t been enough transactions in the last three months, four months since everyone’s multiple has really contracted and overall economic fears have persisted, RevPAR growth rates have dropped. Macroeconomic world events have been a little bit dicey. So you can’t really put your finger on a cap rate, if that’s you’re looking for to say yes, what was a seven cap is now an eight cap. I kind of feel that’s the way it ought to be and perhaps in some cases on a one-off or two-off selected basis I’ve heard that that’s more realistic right now at this time.
Cantor Fitzgerald: And a second on the RevPAR side, can you talk about the trends that you've seen in January and February?
Jeff Fisher: Yes, we’ve talk a little bit about them, I mean, they’re so far in January we’re pretty consistent with the numbers that we had as we went through Q4 perhaps a little bit less, did we put a number out for January yet or?
Jeremy Wegner: No, but I mean our January RevPAR growth was a little over 4% for the portfolio.
Jeff Fisher: I think we just put a number up. So -- and on again February honestly, the results are moving around so much particularly because of that negative Super Bowl impact for us any way with our two big Sunnyvale hotels February probably come in lighter than that, that’s why we have guided in the first quarter lower specifically for some not great February results.
Operator: [Operator Instructions] Our next question comes from the line of Anthony Powell with Barclays. Please proceed with your questions.
Anthony Powell: Your hotel in Denver materially outperformed that market. I was wondering if you could talk about what drove that outperformance, and also your view of the Denver market this year as a whole?
Jeff Fisher: The Cherry Creek hotel which really since we have bought it the Hyatt Place in Cherry Creek is really benefiting from just a very good location in a market that has seen tremendous demand growth really from the transient customer. From a corporate perspective the hotel does sit adjacent to a pretty large office tower but it's really not the primary driver of business in that market. And we’ve continued to see just nice outperformance out of that hotel. The Hilton Garden Inn at the Tech Center as well as upper single digit RevPAR growth in the quarter and that one is more obviously corporate driven but again just that entire Denver area and we see it in our Innkeepers assets as well that are in Denver it is just a very strong market.
Anthony Powell: And Jeff, I don't know if you can comment on the broad RevPAR growth outlook for select service hotels relative to full service. Last year, I think select service outperformed, but we've seen a bit of a reversal of that trend in the STR data recently, so I wondered if you could comment on that outlook?
Jeff Fisher: I don’t really know enough about whole service hotels to be able to give you a very good comparison. But you know what the trends are and you know where select service companies have positioned themselves for RevPAR for this year, so, I kind of think that the numbers are out there for everybody to see.
Jeremy Wegner: Yes, I mean, certainly Anthony as well from a new supply perspective, even though the historical new supply growth is still less than 2% projected for 2016 and within kind of the upscale segment it's closer to 5%. So, there is certainly across the country from a new supply perspective that will have somewhat of an impact in 2016 and ’17.
Anthony Powell: And then my last one from me -- your credit facility now has the option to -- for you to buy back shares, 75 million. What's your overall view on share repurchases this year relative to other uses of capital?
Jeff Fisher: Yes I mean listen I think at this point it's a nice mechanism for us to have we don’t have any plans to announce any type of share repurchase programs at this point. It allows us to repurchase I think $75 million of stock which is a little less than 10% of our float. I think for our shares it’d be difficult to really acquire much many shares anyways. But listen from a use of proceeds perspective of our credit facility, right now with the Silicon Valley expansions projected to generate kind of a low teen returns that’s the best use of our capital at this point.
Operator: Our next question comes from the line of Blair Brantley with BB&T Capital Markets. Please proceed with your questions.
Blair Brantley: I just wondered -- I had a question about the Silicon Valley and kind of the updated plans there. Can you kind of walk through what's happening with the last piece of that expansion plan again?
Jeff Fisher: Yes basically with the -- I think you’re referring to the San Mateo location?
Blair Brantley: Right.
Jeff Fisher: Yes so the area in the hotel or the area where the hotel sits is something called Mariners Island. And just going through the process of getting the approvals there we uncovered some old provisions within the plan of that Mariners Island area. And essentially what we’re looking at, at the moment is the 43 rooms that we thought we were going to be able to add in that location at least as currently where we stand is going to be less than 30. So from a just a pure returns perspective we’re -- if we get held to that number of rooms then from a pure returns perspective it doesn’t appears though that is going to make a whole lot of sense to invest the dollars in adding the rooms. So, we still are looking at that situation.
Jeremy Wegner: Just to be clear, the reason why if it was pure incremental rooms, any room you add in our view in Silicon Valley is going to make you money and it's going to increase the NAV of the Company. But you’ve got to take down rooms okay meaning existing buildings. You remember these are aplex kind of individual buildings in order to build the new rooms so the map starts looking pretty dicey when you’re taking down a number of rooms and in that case I think we were originally going to take down -- or we were taking down 24 there or something in order to -- or a little bit less in order to create the new room count. But now if the new room count can only be 30 then it's just a wash.
Blair Brantley: And then how does your -- how does the CapEx plan for the other two pieces fit versus what you had planned or what you had thought it would be earlier?
Jeff Fisher: It will certainly cost…
Blair Brantley: 70 million-75million?
Jeff Fisher: Yes, I mean, certainly, costs are rising if you when -- and we’ve spent a bunch of time out there in the last six months just understanding what’s going on and as we plan these expansions that construction is just rampant in the area whether it’s multi-family, whether it’s corporate. So certainly our expansion costs have risen about 25% since from a year and a half ago. So it’s not surprising given what’s going on. The good news is, is that the hotels have continued to grow from a RevPAR and earnings perspective, so the returns are still pretty strong, but there is obviously a lot of construction activity in Silicon Valley.
Jeremy Wegner: It still makes sense with an un-levered 12% to 14% return, which is what we project based on kind of not even inflating RevPAR. Okay? Just quick and dirty using existing RevPAR numbers, so, we are still real excited about having those rooms on-board and also those buildings in each hotel also gets us a brand-new lobby. We call it a Gatehouse in a Residence Inn, but it’s the area that you serve your breakfast, your evening cocktail and reception area. So all of that together will enhance, I think our overall RevPAR as well. And the timing on those is as Dennis indicated is more of a Q4 start rather than mid-Q3. So we haven’t slipped much, but when you drive around in Silicon Valley, you do see a lot of apartment construction and you see Google, you see Apple’s new headquarters under construction and frankly the contractors are having trouble finding labor.
Blair Brantley: Okay. Yes, that kind of segways into my next question about just overall tech spending environment and if you've seen any changes there?
Jeff Fisher: We’re watching this really closely here, because obviously trends are pretty volatile right now in the industry. And we are keeping our hands on pretty much a weekly basis of what’s going on. And we are told and we don’t see any substantial trends there. There have been a couple of newspaper articles in the San Jose Business Journal in the last month ops XYZ is going to layoff some people and there is some obviously negative things being written since the IPO market has fallen apart, about VC travel and that kind of stuff. But frankly, they don’t stay in our Residence Inns, the engineers stay in our Residence Inns. So I think maybe the upper end hotels might be feeling a little bit of that impact. So we still feel good, but we are I would say more cautious and careful about not waiting to the last minute to book business, trying to put some heads in beds perhaps a little earlier, because we definitely see where you look less of a transient business customer in the hotels.
Operator: Our next question comes from the line of Bryan Maher with FBR. Please proceed with your question.
Bryan Maher: If we could switch gears a little bit, you talked a little bit about the Hyatt that you have in Cherry Creek. And you have an awful lot of the Hilton product and the Marriott product, but only a little bit of the Hyatt product. Can you tell us what you're seeing out there in the field as it relates to the various brands that you kind of traffic in? And do you think you are getting more bang for your buck from kind of one brand or another? And do you think you'll do a little bit more with Hyatt in the future?
Jeff Fisher: Well, let’s see how we could do this nicely. We, and as you know we love Residence Inns and it’s not because we love Residence Inns, we really like the returns we get on our investment in these hotels. So our preference as you know is to be in the upscale extended stay business. We’ve got some Hyatt Houses that fit that bill. They were formally Summerfield Suites. And then Hyatt bought that chain, so, and converted them. But what we see, as particularly compared to Marriott and Hilton, is just less contribution through the reservation system. And even though that Hyatt Place in Cherry Creek has really done well, when you look at the contribution numbers and you look at the source of business and the market segmentation of the hotel what you find is a lot of it is OTA business. And it’s not sort of hyatt.com. And that, I think is probably a fair cross-section of the few Hyatt Places that we own and the Hyatt Houses that we own.
Bryan Maher: Well, that segways perfectly into kind of my follow-up question on the OTAs and their impact. And a lot of discussion as it relates to the OTAs at ALICE this year. Can you kind of weigh in on what your view is there? And when we look at Marriott and Starwood combining, and a lot of discussion on maybe some others combining, in an effort to, eventually, years down the road, maybe being able to muscle the OTAs back a little bit, what are your thoughts on that bigger picture action?
Jeff Fisher: Well to me it's all positive. Dennis mentioned the impact in Q4 to our FFO and to our earnings I think primarily other than some real estate tax increases that are one time the expansion of our TA costs as a line item. And particularly all in the OTA line is just enormous on a year-over-year percentage basis. So anything that the brands can do to combat this and get us a little more in line with the airline fees that are paid et cetera as an industry we’re just getting gouged and the cost to deliver that room just keeps going up. We’re not facing labor cost pressures and wage pressures, and certainly not food cost pressures or otherwise utility seemed to be in line I mean frankly that is the pressure, it's the OTA line.
Operator: There are no further questions at this time. I would like to turn the floor back over to management for closing comments.
Jeff Fisher: Well we appreciate everybody being on the call today and again we’re looking forward to 2016, we’re looking forward to continuing to put up what we see as some outperformance numbers and hopefully overtime our share price and our multiple as compared to others will reflect the quality of the assets we have. And most importantly, if we’re exceeding on metrics then I think that are multiples to exceed the norm as well. So that’s our goal and we’re going to keep working towards that. Thank you all.